Operator: Hello and welcome to the conference call. This call is being recorded for replay purposes. Today's presentation will be a listen-only format. Following the presentation there will be a question and answer session. Instructions will be given if you would like to ask the question at that time. I would now like to introduce the host of today's conference Mr. Jason Starr, Director of Investor Relations. Sir, you may begin.
Jason Starr - Director of Investor Relations: Good afternoon and welcome to our Q3 2007 results conference call. Before we get started, I would like to remind everyone that some of the statements that we will be making today are forward-looking in nature and involve risks and uncertainties. Actual results may vary significantly from those statements and may be affected by the risks we identify in today's press release and also identified in our filings with the SEC, including our Form 10-K filed on February 28, 2007 and Form 10-Q filed on August 1, 2007. Equinix assumes no obligation and does not intend to update forward-looking statements made on this call. In addition, we'll provide non-GAAP measures on today's conference call. We provide a reconciliation of those measures to the most directly comparable GAAP measures and a list of the reasons why company uses these measures in today's press release and on the Equinix' Investors Relations page at www.equinix.com. With us today are Steve Smith, Equinix's Chief Executive Officer and President; Keith Taylor Equinix's Chief Financial Officer; and Margie Backus, Equinix's Chief Business Officer. At this time I'll turn the call over to Steve.
Stephen M. Smith - President and Chief Executive Officer: Thank you Jason. Great to have everyone on the call today and thanks for joining us. As many of you know, this has been an important quarter for Equinix on the execution front as we completed our acquisition of IXEurope, raised $750 million to finance this acquisition, and fund on our announced extension plans for 2008. At the same time, we posted very strong quarterly results across the board. On today's call we'll be providing an update on our entry in to Europe and as many of you've seen in our separate release today, we announced further expansion in Paris and Sydney. We'll also give you some color into our most recent expansion in Chicago, which I am pleased to say has officially opened on schedule and on budget earlier this month, and also a brief update on our other expansions. Finally, we've had a number of important customer advisory meetings recently with some of our enterprise and peering customers. And I'd like to share some real-time feedback as many of you ask about the trends that we're seeing in the marketplace. I'll discuss each of these in detail in a moment, but first let me hit some of the highlights of the quarter before I turn it over Keith. Total revenue for the company was $103.8 million, which included $5.5 million contributed from 17 days of operations from Equinix Europe. Organically our revenue grew 33% over the same quarter last year and 7% sequentially. Cash gross margins came in at 61% and were 62% organically, which were slightly ahead of our original expectations. EBITDA was $40.6 million in the quarter, including $1 million from Europe, organically representing 66% incremental flow through from our Q2 results. The company also generated $4.1 million of net income in the quarter. In the US and Asia, Equinix closed 83 new customers. Key wins included Afina [ph] Capital Management, Aloha Airlines, Bloomberg, Classmates Media, Move Networks, Sesame Workshop, and Westfield Properties. We saw just under 80% of our bookings come from our installed base. Our pipeline remains extremely strong with another record bookings quarter. Importantly, we've seen our investments in our systems and processes start to pay off, as we've seen our book-to-billing [ph] will improve by over 50%. We ended the quarter with just over 1800 customers of which 392 were in Europe. Our interconnection business continues to do well, especially in Asia where we continue to see double-digit growth. At the end of Q3, we had 17295 cross-connects in the US. On our public peering fabric or Equinix Exchange we had 606 ports sold, which includes 83 in Asia-Pacific, 68 ports in Europe, and we ended the quarter with 77 10 gig ports overall. The aggregate traffic on a public peering service is now approximately 180 gigs, which represents 80% traffic growth year-over-year. As a reminder, this does not include the tremendous amount of traffic that is being passed over private cross-connections. As an aside, we expect our global interconnection revenue percentage to decline to roughly 15% to 16% next quarter as we reflect a full quarter's results from Europe. With that, I'll hand it over to Keith who will walk you through our results as well as provide you some additional insights into the acquisition of IXEurope and the financing transaction. Over to you Keith.
Keith D. Taylor - Chief Financial Officer: Thanks Steve and good afternoon. I am pleased to provide you with our third quarter results, by all measures a strong quarter for the company. Also, I'll provide some perspective on our recent acquisitions of IXEurope and the related financing activities to fund the purchase. As Steve mentioned, our Q3 revenues came in at $103.8 million, an almost 13% increase over the previous quarter and up 41% compared to the same quarter last year, when including the $5.5 million of revenues from Europe. Our US revenues were 81% of total revenues with Asia-Pacific and Europe revenues at 14% and 5% respectively. Recurring revenues in the quarter were $99.3 million or 96% of total revenues. These results reflect a strong booking activity over the first three quarters of the year. Looking at revenue performance from our recently opened IBX in the Washington DC market, demand is strong and the pricing trend is consistent with our expectations. Revenues in this IBX have effectively doubled over the quarter, increasing from $2 million in Q2 to $3.8 million in Q3. Finally, as we look forward into Q4 and 2008, we continue to see a very strong pipeline across all of our available markets and in line with our pricing objectives. Moving to churn, our Q3 MRR and cabinet churn was approximately 1.8 % and 1.6% respectively, below our targeted 3% threshold for the quarter, and consistent with our views that we would trend down over the year. Looking at our churn assumptions for the year, we now believe both MRR and cabinet churn will range between 9% and 10%, below the 12% annual target. And as we look into 2008, we expect annual churn to drop to approximately 8%. Moving on to gross profit and margins, the company recognized gross profit of $40.9 million for the quarter. Our gross margins of 39%, consistent with the previous quarter and up from the $24.6 million for the same quarter last year. Our cash gross margins were 61%, consistent with our expectation as compared to 63% in Q2. On a same IBX basis, the metric that we'll cease to report starting in Q4, our cash gross margins were 65%. The Q3 results reflect the anticipated effect of higher seasonal utility costs associated with the cooling of our IBXs in the summer months and the incremental costs associated with the opening of initial phases of our expansion projects in both Singapore and Tokyo. Looking into Q4, we expect our cash gross margins to range between 61% and 62%, even as we absorb the initial operating costs attributed to our newly opened Chicago 3 IBX, or soon to be open New York 4 IBX, and as we assimilate our full first quarter of European operations. Now looking at sellable cabinet capacity and utilization levels, as a reminder, our Q3 utilization levels exclude the additional 4200 cabinets we will be adding to our capacity from Chicago and New York expansion projects in Q4 and the capacity for Europe. Our net sellable cabinet capacity increased to 25,800 in the quarter, which reflects the new cabinets from the initial phase of our Singapore and Tokyo expansions. At the end of Q3, approximately 20,500 cabinets or just over 79% of our sellable cabinets were billing, a significant net increase of 1300 cabinets in the quarter. Breaking down the details by region, cabinets billing in the US were about 16,500 or 81% of capacity. And in Asia, they are about 4000 or 73% of capacity. On a weighted average basis, our net sellable cabinets billing during the quarter was 20,100, of which 16,200 were in the US and 3900 in Asia. Looking at our European operations, we currently measure our capacity in square meters, with net sellable capacity of approximately 34,400 square meters or about 370,000 square feet at the end of the quarter. This capacity excludes the current expansion activity in London, Frankfurt, and Paris, which will increase the sellable capacity to 45,400 square meters or about 489,000 square feet. Looking at revenue per cabinet on a weighted average basis organically, our average monthly recurring revenue per sellable cabinet increased to $1564... sorry $1564, up 2.1% over the prior quarter level of $1532 and up 6% compared to last year. On a regional basis, our weighted average price per sellable cabinet in the US was $1661, which was up 1.8% from the prior quarter at $1632. In Asia-Pacific, our weighted average price per sellable cabinet was $1160, an increase over the prior quarter level of $1119 as Asia interconnection activity continues to be strong with double-digit growth. As we look forward into Q4, it is our intention to sell our non-strategic e-mail messaging service in Singapore for approximately $1.6 million. Once this transaction is completed, it will effectively reduce the Asia MRR per cabinet metric by approximately $60 per cabinet, and will impact our global MRR per cabinet metric by about $10 per cabinet. Now looking at SG&A, SG&A expenses for the quarter were $34.8 million including stock-based compensation expense of $9.6 million. Europe SG&A expenses for the 17-day period approximated $2 million including $349,000 of stock-based compensation expense. Our cash SG&A expenses were $22.9 million for the quarter, including $1.4 million of SG&A from Europe and was consistent with the prior quarter level of $22.8 million and a 20% increase over the same quarter last year. Moving on to net income and EBITDA, for the quarter, we generated net income of $4.1 million as we experienced stronger than expected growth in revenues coupled with lower discretionary expending on the cost of revenue line. In addition, our SG&A spending was lighter than expected due to slower than planned hiring. Our net interest expense was also lower than planned. We recognized certain foreign currency gains, the largest component of which was attributed to the hedge we put in place on the acquisition of IXEurope. The foreign currency gain was largely offset by the write-off of costs related to our Citibank bridge facility after we successfully completed our permanent financing in September. On a year-to-date basis, we've net income of $885,000. As we look forward into Q4, we expect to revert to a net loss as we start to depreciate our Chicago and New York IBX, as that become operational in the quarter. We incur higher net interest expense due to an increase in our gross debt obligations along with last interest being capitalized on our construction projects, and we begin to amortize our intangible assets and absorb the full quarter impact of non-cash costs attributed to IXEurope acquisition. Also on a separate note, as we look forward, approximately one-third of our revenues will be denominated in currencies other than US dollars. As such, we are increasingly more susceptible to movements in these currencies against the US dollar. We are currently assessing our currency hedging strategies to mitigate or reduce this exposure, yet we recognize we may be exposed to untimely fluctuations against the US dollar. To the extent relevant, we will report the impact of currencies on our results. And lastly, as some of you have seen, the FASB has been considering the accounting related to convertible debt with cash settlement features. One of our convertible debt instruments has a cash settlement feature, and given this structure, it may cause the company to bifurcate the convertible debt and cause us to increase the amount of non-cash interest expense. We will update you further on this matter as we see it unfold. Our EBITDA was $40.6 million for the quarter, above our revised expectations. EBITDA for Europe for the 17-day period was $1 million. Turning to our balance sheet, at the end of Q3, our unrestricted cash balances totaled $436.4 million, including the net proceeds from our financing in September, offset by the acquisition of IXEurope. This cash balance along with our expected operating cash flows in 2008 will fund our announced expansion projects. Next, moving to our operating cash flows, our net cash generated from operating activities increased to $48.7 million, up from $38.1 million in the previous quarter and $20.7 million the same quarter a year ago. It continues to benefit from the management of our working capital balances, although we expect this trend to reverse in Q4 as we fund the outstanding liabilities. Our DSO metric continues to remain strong at 32 days. Cash used from investing activities was $718.2 million for the quarter, which reflects the $542 million acquisition of IXEurope, approximately $89 million of capital expenditures, including $2.7 million from Europe, $65 million to purchase our flagship IBX in Silicon Valley and adjacent land, and the reduction of our accrued property and equipment balance of $24 million. Cash generated from financing activities was $783.2 million for the quarter, and primarily relates to the net proceeds of $724.4 million from the financing in the quarter, $49.5 million of proceeds from the drawdown of funds from both our Chicago and Asia financing lines, and $10.4 million of proceeds from our employee stock plans. The total amount of debt drawn under our $110 million Chicago construction loan is $93.7 million at the end of Q3. Finally, with respect to our equity balances outstanding, we had approximately 36.3 million shares of common stock outstanding, which includes the 4.2 million from our recent equity offering. This number excludes the 6 million shares related to convertible debt, and 3.7 million shares related to employee stock plans and other warrants, the majority of which vest over the next two to four years. So now let me turn the call back to Steve.
Stephen M. Smith - President and Chief Executive Officer: Thanks Keith. When we announced our acquisition of IXEurope, we outlined a strong case for our entry into Europe. Now that we are a month and a half into this, we are even more confidant of the strength of the market momentum, the favorable supply and demand imbalances on a country by country basis, and the improving pricing trends. Through the first 9 months of the year, the region is ahead of our expectations and they had another outstanding bookings quarter. With the strong bookings and solid pipeline, we are increasing our revenue guidance range in 2008 for Europe. It is clear that demand across the European region remains strong. One example, the second expansion phase of our Paris 2 data center, which we are opening in November, is already 90% booked. As a result, today we announced a third phase there, which will be 2900 square meters or just over 31,000 square feet and will be available for customer installs in the second quarter of 2008. We are investing approximately €12 million or US $17 million and CapEx for this project can expected to exceed our targeted IRR of 40%. So to summarize our expansions in Europe, we have four projects that are under development. Two phases in Paris 2, an expansion in Frankford 2 due in Q1 of 2008, and the second phase of London 4, which is expected to open in the third quarter of 2008. In total, these projects represent an increase of approximately 120,000 square feet for an investment of US $70 million to US $75 million. As we have mentioned on previous occasions, we continue to look at additional market opportunities in this region to respond to our customer demand. We will provide additional details and further insights into this important market as well as other details on Europe at our Analyst Day next week. So please... let me just you give a quick update on our integration activities to-date. As we stated, our initial activities will be primarily centered around a go-to-market strategy, including global account management, branding, customer care, and the alignment of our products and pricing as appropriate. And as expected, we are starting to see cross-border opportunities show up in our pipeline, particularly in the financial services industry. In addition, as you saw in our results, we have completed the reconciliation of the European financials into US GAAP and are now working to standardize our respective operating metrics. It personally couldn't be more pleased with the early results we are seeing from this acquisition, as well as the team work and collaboration I witnessed as we jointly begun planning for 2008. So let me switch gears to the US. As I mentioned, our new IBX in Chicago opened on October 5 and we are now installing customers. We had our opening event for this last week. This is a magnificent state-of-the-art IBX where we've incorporated our years of experience in building and operating these centers. We believe that this one is one of the highest quality and most energy-efficient data centers in the US. I'd like to congratulate the team who brought this in on time and on budget, especially given the scale of this project. Just over 20% of the 2500 cabinets that are available for sale in this IBX are either booked or reserved. With the installation of these cabinets and given the strength of the pipeline in this market, we expect this IBX to be cash flow positive ahead of schedule. Keep in mind this is our largest build that 2500 cabinets and does not include an acre tenant. Notable wins here include Internap, Deutsche Boerse and Level 3 and we continue to see very strong momentum in this pipeline. In the New York market, our greenfield build remains on schedule for customer installs in the mid-November timeframe and bookings momentum here is well ahead of expectations. We'll be providing additional specifics on our progress as we get closer to the opening date. Just a quick update on our other US expansions, our Silicon Valley expansion and our fifth IBX in our DC market are still on track for Q2 '08 openings and our fourth IBX in LA is still scheduled for customer installs in Q4 '08. Moving now to Asia, as you saw today, we announced a the new IBX build in Sydney. This 31,000 square foot build will be adjacent to our current site and have 650 high power density cabinets, and will be available for customer installs in Q4 2008. We expect CapEx for this build to be approximately US $29 million and in line with our targeted IRRs. And of course as we reported, we've opened initial phases of our Singapore and Tokyo expansion in early Q3 and we're seeing strong results in both markets. Over the past few weeks, we've held several important customer forums with our network content and enterprise customers to discuss key trends they are seeing in the marketplace, including virtualization, next-generation hardware and future power requirements. First, something that many of you have asked about is virtualization and its influence in our business model. We spent a fair amount of time talking about this. Our customers do see a benefit to it; however, they pointed out it's very dependent on the type of application. And in many cases, the mission-critical nature of what they often deploy in our IBXs are not prime candidates for virtualization, whether it be customers with networking applications such as peering, serving load... server load balancing or storage requirements used by our content companies or even latency-sensitive applications where financial institutions are intentionally managing to low levels of server utilization to absorb their peak periods. Our conclusion here is that it is a predominantly an enterprise IT phenomenon to consolidate and maximize the efficiency of their hardware infrastructure investments. Certainly, it's a trend that we will continue to watch, but one we... in which we expect to have limited impact on our future growth. Also, in these meetings, we explored the trends continuing to drive high power requirements on a per-cabinet basis. Bottom line, power requirements continue to grow significantly as there is no let up in demand of next-generation hardware showing up in our IBXs globally. As recently published, this has been validated by industry sources such as Gartner and The Uptime Institute who point to an invisible crisis happening in data centers around the world. As companies realize that legacy data centers will no longer handle future power and cooling requirements, they are faced with mounting capital and operating expenses to replace these centers. In fact, many companies expect to spend as much on power and cooling as they will on hardware infrastructure over the next five years. Of course, this crisis is a driver of our demand as it generates more need for outsourcing as a solution to the expenditures incurred in building and running data centers. As we respond to this increased demand, we are accelerating our plans to incorporate innovative power and cooling design, as well as responsible green approaches. We plan on discussing these plans next week at our Investor Day. Now I would like to wrap up this call with a quick update on our expectations for 2007 and 2008. We are increasing our expectations for revenue in 2007 to be $416 million to $417.5 million. Organically we expect revenues to increase to $378 million to $379.5 million, which represents approximately a 32% growth rate from our 2006 results. We are increasing our expectations for EBITDA, which is now expected to range between $153 million to $154 million, which raises the mid-point of our expectations by $3.5 million. Our CapEx guidance is still expected to range between $405 million and $415 million, of which $359 million to $369 million is for expansion and approximately $46 million is in ongoing CapEx. This reflects additional ongoing capital expenditures in Europe. Turning now to 2008, we are raising our expectations for revenues now to be in the range of $625 million to $640 million, including $150 million to $160 million from Europe. EBITDA is expected to range from $240 million to $250 million, including $42 million to $50 million anticipated from Europe. This number includes investments we intend to make in Europe to scale the team in order to take advantage of a larger opportunity we see in 2008 and beyond. Turning now to CapEx, we expect a total of $300 million to $310 million to be invested in 2008. This includes $45 million for ongoing CapEx, of which $15 million is allocated for Europe. Expansion CapEx is expected to be in the range of $255 million to $265 million, of which $15 million is designated for Europe. So in closing, as we look into '08, the business has never been stronger. With the solid market fundamentals combined with our strong execution, we see 2008 as a year to break away from our competition and solidify our market leadership position with our customer on a global basis. We'd now be happy to take your questions. So Lisa, I'd like to turn it over to you. Question And Answer
Operator: [Operator instructions]. Our first question comes from Jonathan Schildkraut with Jefferies.
Jonathan Schildkraut - Jefferies & Company: Wow.
Stephen M. Smith - President and Chief Executive Officer: Hey Jonathan, how are you?
Jonathan Schildkraut - Jefferies & Company: Hi guys, great quarter. A couple of questions, mostly on the housekeeping side and then a couple of strategic questions. Could you give us the recurring and non-recurring revenue breakdown in Europe?
Keith D. Taylor - Chief Financial Officer: What I'd tell you right now, Jonathan, the sort of the breakdown because we are going through what you call reconciliation of IFRS to the US GAAP. The breakdown is roughly again 95%/5% between recurring/nonrecurring.
Jonathan Schildkraut - Jefferies & Company: Alright, fair enough. Okay, it looks like you are dropping your margin assumption for Europe in 2008. Is there anything going on there or is it just the additional Paris expansion?
Keith D. Taylor - Chief Financial Officer: Sorry, John, could you repeat that question please?
Jonathan Schildkraut - Jefferies & Company: Yes, I am sorry, Keith. I said based on the revised guidance, it looks like you took down your EBITDA margin assumption for the European operations in 2008. I was wondering if that was a reflection of the further expansion that you guys announced today or there was something else?
Keith D. Taylor - Chief Financial Officer: Yes, certainly Jonathan. Part of it relates to the additional expansion that we are going be making in Paris. A part of it also relates to the fact that we are estimating that we are going to spend $10 million incremental in scaling the organization over 2008. That's going to be in... we are going to be making fairly meaning investment in human capital side and processes and systems.
Jonathan Schildkraut - Jefferies & Company: Great. If you could briefly describe the competitive environment in Europe relative to the US, particularly as it applies to some of the network density, it appears to be... from a numbers of the announcements you put out as well as our conversations with IXEurope prior to the acquisition that in general those data centers have call it mid to high teens number of networks in each of their data centers. In the US Equinix tends to have 100 or so networks in its data centers. Has that changed the dynamic in which you approach customers and have you seen an impact in trying to sell some of our US customers into the European market?
Stephen M. Smith - President and Chief Executive Officer: Jonathan, this is Steve. Not yet, and the handoff we see happening today is mostly into multinational customers that are not constricted by the number of carriers in these centers. So we don't... because of the enterprise focus today in Europe with most of their business, it hasn't been as big an effect. Now as you get into more content-related global companies and some of the other network-intensive type applications that we will take on, then I think we will start seeing a different kind of a mix and probably more of a challenge, but not affected us to-date. I don't know Margie --?
Margie Backaus - Chief Business Officer: Yes, Jonathan, I think you are right about that. The numbers you stated, so mid to high teens depending on the site. Again, you don't need as many because don't forget they're not peering right and concede [ph] point of the multinational enterprise side. That's also correct. But what I will tell you is the carriers that are in those centers in Europe are the right carriers. So the right carriers for our US people that want to go there. So around the FX services and some of the things where we are seeing, some of the cross border opportunities, it's not so much about the number of carriers, it's about the quality of carriers, and we feel good about that. So if you're an FX guy and you are using BT Radiance [indiscernible] to one of those guys. That's too they want to see in those centers and that too is there.
Jonathan Schildkraut - Jefferies & Company: Great. A final question here, recently one of your competitors kind of announced that they were going to rollout some of their old releases underlying their data centers somewhat lower power specifications and they may become too antiquated to even sell on a pure co-location basis. Could you bring us up-to-date as to the status of your portfolio of data centers, I guess, particularly in the US, how you feel about the power levels on a next five-year basis or may be even 10 years out and what you do manage your customers' power consumption within your data center portfolio?
Stephen M. Smith - President and Chief Executive Officer: Sure, Jonathan. I guess the way we think about just useful life of our legacy data centers, there is a couple factors, first of all, I think the quality of the original design of our centers with raised ceilings and overhead cooling etc. has given us a position of a more efficient cooling ratio than most other organizations in this business. So that's the point number one, and I think that's a big factor. Our peering hubs, as you know, is predominately networking gear. They require less power than server forms. So that's the factor. The space we took out can be replaced with DC power to augment this networking gear. So that's another factor. We actually have a waiting list today on these legacy centers. So I am not sure the competitor intelligence should getting about that. Our case for our legacy centers, we actually have a waiting list across the board to get into these centers. A lot of these data centers we did acquire at a later stage. So the exit is very above net type assets that we acquired. We acquired the later stage assets, which are a little higher end asset in terms of the power and cooling capability. Last thing I guess I think about on this front would be we have a group of professional engineers that spend the majority of their time every day looking at the investments around things like heat exchangers, air economizers, DC power augmentation etc. So... and I am not so sure if our competitors have that same level of investment in engineers that come to work every day focused on these types of things.
Keith D. Taylor - Chief Financial Officer: And Jonathan, I'd just follow-up with another point that is very relevant about our legacy data centers. They are achieving in aggregate the type of returns that we initialing modeled in our initial business plans, which is cash gross margin, 65% to 70% or higher on an aggregate basis and every single IBX that we have is generating positive cash. Not to mention the fact that we firmly believe as a company, I have said it publicly that the economic life of our assets, we believe, will extend well beyond the depreciable life of these assets, and that's because we originally amortized our assets over the initial lease term, and our view is the assets are having a life extension much greater than that.
Margie Backaus - Chief Business Officer: And then Jonathan, just to answer the second part of your question about how we actually manage them, a good question because we have actually just spent the last 18 to 24 months putting in something we call breath circuit monitoring in all of our legacy centers, which literally measures down to draw level of every circuit in every single IBX so that we are able to maximize the power and how we manage each individual center. So in real time, we know exactly what's going on at a circuit level of every single customer in those legacy centers and are really able to take a look at what customers are doing and how best to manage it. So we've gotten very sophisticated, and spent a fare amount of money doing that. So we feel really good about the data we have.
Jonathan Schildkraut - Jefferies & Company: All right, thanks a lot. We will see you in New York next week.
Margie Backaus - Chief Business Officer: Thanks Jonathan.
Stephen M. Smith - President and Chief Executive Officer: Thanks Jonathan.
Operator: Our next question comes from Jonathan Atkin with RBC Capital. Your line is open.
Jonathan Atkin - RBC Capital Markets: Thank you. A couple of marketing related questions. You mentioned the across border sales opportunities. Are there sectors that show promise besides financial services? And then more broadly, can you may be contrast the growth drivers that you are seeing in Europe versus the US versus Asia?
Stephen M. Smith - President and Chief Executive Officer: I'd say the sectors, I will start off, Margie can probably [indiscernible]. The sectors do cost, I mentioned that the financial services industry seems to be the one that's at the height in our pipeline now. But we're going to see as I mentioned earlier, more multinational companies across the multiple segments. They're going to interested in global solutions where work service and M&As are US and they want to go to Europe with us. So, I would... as the pipeline is forming now, we're going to see multiple segments addressed but I think that the biggest push we've seen so far is with financial services. And your second question?
Jonathan Atkin - RBC Capital Markets: Yes, just more broadly how does the growth drivers differ by region?
Stephen M. Smith - President and Chief Executive Officer: Yes. I'd say the trends are generally the same at a top level from... whether you look at industry or you look at the growth of the Internet terabytes per day growth on the internet or shipments of server blades around the world or any trends you want to look at. Generally, we're looking at the similar trends across all continents and for us, it drives... the space, power, cooling and interconnection parts of our business mix. So I don't know if I said... I mean there is a little bit of difference in some of the smaller markets, but in general the big trends that we're seeing today that is driving this high power density equipment that's driving the power and cooling stuff is a prime driver for us. As you guys most of you know it is tough to have a conversation today with a buyer that doesn't want to talk about power and cooling as one of the first two things out of the gate.
Margie Backaus - Chief Business Officer: Yes. And I think the other thing I will add that's kind of interesting from a driver perspective is whereas you are seeing consumer broadband adoption in some of those to be a big growth driver in the US. That's also a big driver in Asia, but really how the market has developed in both Asia and Europe to address that kind of pairing up opportunity is different, so where we talk about double-digit increases we're seeing on the interconnection side in Asia that trend is a big growth trend in Asia, but we are really just starting to... we're really on the cusp of beginning to see the growth in the way we address it and that will also be true in Europe over time. So even as the growth drivers are the same, we're at a little bit of a different inflection point in the other two regions outside the US as it relates to the sophistication of how that opportunity is captured.
Jonathan Atkin - RBC Capital Markets: And Keith mentioned process and system investments as well as human capital in Europe, which is causing the EBITDA guidance to go up less than the revenue guidance and can you go into a little bit more detail on what's involved there?
Keith D. Taylor - Chief Financial Officer: Yes, Jon. What I'd tell you is that overall we... are as you know, the acquisition closed on the 14th of September. We are spending a lot of time with our colleagues in Europe and looking at what size of investment we need to make. But what I can just generally tell you is similar to what we experienced in the US a numbers of years back where we... we're going to double the size of the US operations, we really took the investment in the sort of SG&A line up is no different here. The Europe team sees a great opportunity in front of them. When we ride on the road, on the investor road we talked about the size of their current footprint and how much revenue it can generate. That was $200 million to $220 million. Clearly with the announcement today on Paris and with other opportunities we see, we get comfort that we need to make an investment that will allow us to scale this business for the next certain level... the next level of investment.
Jonathan Atkin - RBC Capital Markets: And then finally perhaps received any update or thoughts on the government sector?
Stephen M. Smith - President and Chief Executive Officer: No, nothing. I mean we still look at it opportunistically. We've got opportunities in our pipeline but it's on a more selective basis.
Jonathan Atkin - RBC Capital Markets: Thank you.
Operator: Our next question comes from Rod Ratliff with Stanford Group. Your line is open.
Rodney Ratliff - Stanford Group Company: Thank you, very nice execution on the quarter guys.
Stephen M. Smith - President and Chief Executive Officer: Thanks Rod.
Margie Backaus - Chief Business Officer: Thanks Rod.
Rodney Ratliff - Stanford Group Company: One house keeping question. If you would, Keith, would you repeat the European source based stats for me?
Keith D. Taylor - Chief Financial Officer: Yes, I will, sorry let me just... I put my notes inside. So, on the European basis we have today roughly 34,400 square meters of space or about 370,000 square feet. When we complete the build out of the Paris including what we announced today in Paris, just 45,400 square meters or about 489,000 square feet. We're using just for everybody's benefit of 10.76 conversion ratio between square meter and square foot.
Rodney Ratliff - Stanford Group Company: Thank you.
Keith D. Taylor - Chief Financial Officer: Okay.
Operator: Our next question comes from Michael Rollins with Citigroup. Your line is open.
Mike Rollins - Citigroup: Hi, good afternoon.
Margie Backaus - Chief Business Officer: Hi Mike.
Stephen M. Smith - President and Chief Executive Officer: Hi Mike.
Mike Rollins - Citigroup: Couple of questions, first, when you gave your guidance I think the date was on September 14th your long term goal for international or I should say for Europe, excuse me. It was $200 million to $220 million. What square feet or meters was that based on and now that you've announced some additional expansions, can you give us an update on what that revenue opportunity is? And then the second question I had was if you look at some of the changes in your guidance, you've actually now, of guidance, I think each of the last three months or may be three of the last four months and I'm curious what's changing in the pipeline that you are seeing to create some of these upward revisions so quickly? It tends to be a pretty visible business from what I understand in terms of the sales process. So, is it better pricing? Is it just better fill rates in the centers or the new centers really just picking up faster than you expected? Thanks.
Keith D. Taylor - Chief Financial Officer: Yes, I'll start on the second part of that question, Mike. It is driven by pipeline demand as you heard me mention we had another record quarter on bookings. So, we're seeing the demand go into the pipeline and the new centers are obviously helping us. So, the rate, the uptake in our new centers is a big factor in this equation. Quite frankly, the demand that we're seeing across all these markets is just the key driver and that it's causing the fill rates to go up and it's causing us to be able to get the pipeline to record levels. So that's what drive bookings as you all know and it's... as long as we are in this mode of setting record bookings, we're going to continue to drive. We're going to continue to give these kind of results.
Margie Backaus - Chief Business Officer: The other thing I'd add Mike and I think Keith will address the other question, as Steve mentioned it in his script but the book-to-bill cycles we're seeing are also being very helpful. So, all those big investments we've made over the last 18 months in systems and processes in the U.S are definitely starting to pay dividends as that revenue is coming in sooner and we're really starting to see the fruits of that labor pay off here, so --
Keith D. Taylor - Chief Financial Officer: And Michael, going back to your first question as I mentioned, I'm going to talk about just on the square meter basis. We in the original plan had sized the investment opportunity, sorry, the business plan opportunity at $200 million to $220 million. It was approximately 42,900 square meters or said differently, it did not include our last... the announcement we made today on Paris. So it included Frankfurt... Frankfurt to Paris and the London Phase 2 expansions. That also takes into consideration certainly they have a book-to-bill interval as well our backlog, and so when you take all that into consideration, it gives us the comfort that we can at current prices get into that range of $200 million to $220 million of that current investment.
Mike Rollins - Citigroup: And if I could just follow up on that are there other options that you have on existing properties to expand without, call it dramatic investments. So if you look at whether it's in Germany and some of the campus there or some other markets, what's left in terms of potential build off of existing centers that you have in Europe?
Keith D. Taylor - Chief Financial Officer: Good example, Mike, would be in Frankfurt where we are today going to be built at about 8,000 square meters total of build out and there's another 23,500 I think of square meters potential build out on that campus. It's in square feet, it's 500,000 square feet campus and then just on to that and size of the facility. So there is plenty of room to build on in Frankfurt in that campus in that building. We have a very good situation there. You know the US situation quite well on campuses. We're going to follow the same campus environment strategy in Europe that we've been doing in the US and so that will also give us uplift and leverage as we continue to build out on these campuses and leverage the staff that's in these prices.
Mike Rollins - Citigroup: And if I could just trouble you for one other question, just on the cash balance. So your footprints grown substantially with the acquisitions but so has your cash balance, so is there an opportunity as you look to '08 or '09 and maybe at the analyst day, you'd give some perspectives on maybe free cash flow goals. But is there an opportunity to see some of that cash come back to shareholders.
Stephen M. Smith - President and Chief Executive Officer: It's certainly is a lot of cash on the balance sheet as of the end of the quarter Michael. There is a fair bit as you know of commitment as they are both sitting on balance sheet with accrue liabilities and accrue construction, and we will fund those liabilities in Q4. But as we look forward, we still have a fairly meaningful commitment, given the announcements that we have made in the capital that you see as at least targeting our guiding you to for 2008. Clearly, from our perspective we believe the cash flow attributes in this business are extremely attractive and we think we have the ability if we wanted to substantially deleverage the business as we move through time or alternately, which is more attractive to the shareholder is probably have the ability to repay the cash whether it be in the form of a dividend or a stock buyback. But I don't think... it's clearly not going to be 2008, 2009. We are not just there yet to see what we have in front of us. But I think just in general terms, we like what we see in front of us and I think it's going to give us the opportunity or the flexibility to do that at some point in the future.
Mike Rollins - Citigroup: Thank you.
Operator: Our next question comes from Mark Kelleher with Cannacord Adams. Your line is open.
Mark Kelleher - Cannacord Adams: Thanks. Couple of quick questions going into Q4 on the cabinet capacity that you are expecting to add. We've got 2500 cabinet... 2500 cabinets in Chicago, 1700 in New York, 740 from Tokyo, 450 from Singapore. Did I get them all? And does that take you to the 31,000 that you are still looking for? Are you still looking for?
Stephen M. Smith - President and Chief Executive Officer: Approximately 31000. That's' right, Mark.
Mark Kelleher - Cannacord Adams: And --
Stephen M. Smith - President and Chief Executive Officer: And Jason, I am sorry, Mark. There is a quick start for Singapore and Tokyo. We have partial phases that opened, so if you look at Singapore as 900 cabinets in total, not all others are available in '08, the partial developments same things [ph] true about Tokyo.
Margie Backaus - Chief Business Officer: I guess 31,000 is correct.
Mark Kelleher - Cannacord Adams: Yes. And than kind of going with that, you talked... you talked about the billing cycle improving. Can you tell us what that book-to-bill cycle is, how long does it take between when you book them to when you can recognize revenue?
Keith D. Taylor - Chief Financial Officer: Yes. It's now down to 15-day range. It was up in excess of 40 days and the investment this team has made here has really started to pay off here in several other areas too, but that's been noticeable one because of the impact here. But said that, it's an excess of 50% improvement here.
Mark Kelleher - Cannacord Adams: Great.
Stephen M. Smith - President and Chief Executive Officer: Mark, just recognizing that clearly FB configuration the way we certainly talk to the investor base on this, every customer relationship we had is somewhat unique and clearly some of the larger investments, our book-to-bill interval is expanded because of the amount of infrastructure they are putting into IBX is meaningful. But as a general theme as we've said that 15 day ratio is our... that 15 day period is accurate, but I don't want you to think that every transaction would be at 15 days, but in some cases it can extend months if not quarters.
Keith D. Taylor - Chief Financial Officer: Yes. That's on average.
Mark Kelleher - Cannacord Adams: But it would be fair to assume that a lot of those cabinets that are coming on line in the fourth quarter can be billable by the end of the fourth quarter.
Keith D. Taylor - Chief Financial Officer: Correct.
Mark Kelleher - Cannacord Adams: Can be revenue by the end of the fourth quarter.
Stephen M. Smith - President and Chief Executive Officer: Well, Mark just on that I want to make sure you are clear. I mean when we... we've historically said when we think about our forward guidance, we have a very high confidence level on what we think is already if you want in the bag, but recognizing Q4 between the timeframe that you actually book it, you go through the contract period, you book it and than you ultimately get to billing. Typically, we don't see... it's more meaningful today than in the past, but it shouldn't have meaningful impact on Q4. It really will have a meaningful impact on Q1, but recognizing that we are seeing a reduction in that book-to-bill into both sorts [ph] is more so today than it was in the past.
Mark Kelleher - Cannacord Adams: Okay. And the capacity that you have lower than market rates, is there still a meaningful or is there a meaningful portion that is still available for reprising at higher levels?
Keith D. Taylor - Chief Financial Officer: I would say nothing meaningful. There will certainly be... there will be a part of account here and there. But overall, we feel that we have moved to market a number of our customers who are meaningfully below market rates.
Margie Backaus - Chief Business Officer: Yes. The one thing I will add on that is as we said in the past, we've worked with many of our customers to feather those increases over time. So you'll continue to see them kind of... we've kind of gone to the base and had the hard conversations in some cases, but as the price increases go in, in some cases we staggered them based on customers' budget needs and other things, so you will see them feather in, but as Keith said you know I think the majority of those are done.
Mark Kelleher - Cannacord Adams: And the market rates have plateau. Would that be a fair statement or are they still moving up?
Stephen M. Smith - President and Chief Executive Officer: I think what we have historically said, Mark, is that we are certainly very comfortable with the rates that we are getting today. We believe we are premium price relative to our competitors in the marketplace, but probably was more relevant despite the fact that we are getting good rates. I will tell you that our customers are continuing to buy more services per cabinet and that's what our driving our MR up. It is not because we are increasing our prices every single quarter, quarter after quarter. It's the fact that we are delivering more services per cabinet and we've been... we have had the ability to move the price points up this year in 2007.
Mark Kelleher - Cannacord Adams: Okay, great. Thanks. Great quarter.
Stephen M. Smith - President and Chief Executive Officer: Thanks Mark.
Keith D. Taylor - Chief Financial Officer: Thanks Mark.
Operator: Our next comes from Chris Larsen with Credit Suisse. Your line is open.
Chris Larsen - Credit Suisse First Boston: Hi, thank you. Keith a couple quick ones, did you say that you're going to making a shift in Europe from meter square over to racks and we'll get that conversion at some point? And secondly on the FASB accounting change with the converts, is that purely an accounting change desegregation or are you going to actually have to go back out into the market to do something there? And another quick one I hope. You mentioned next year you are going to spend $10 million integrating and re-boosting IXEurope. Can give us a sense for what's built into the fourth quarter spend in terms of IXEurope for stuff like that and then I actually have a question on an operating basis?
Keith D. Taylor - Chief Financial Officer: Let me start with the easy one on the square meters to cabinet, it's fair to say that when we talk about the business in Europe relative to the U.S., we do sell on a different perspective and so do they do sell in square meters and they sell suite, so we're certainly going to look at integrating our metrics as much as possible. But I can't tell you the data. We'll absolutely convert meters to cabinet. All we really want to do is give you a sense of what their utilization level is regardless of what metrics that they have and trying to give you a sense on what the upside potential is. So that's what I tell you there. I just... we're looking at it. We are looking at integrating all of our operating metrics as I think Steve mentioned in his script. The second one is related to the FASB, the FSP on convertible debt. I don't... we don't have to go out to the market. It really is just forcing us to break down sort of the equity component of the convertible debt instrument, and move some of the debt into the equity section and then accrued interest, so you have a non-cash interest expense hitting your P&L over the maturity of this instrument. But it's something that we would do. It just is basically book accounting and it won't have any relevance on our economic returns. And then the last piece was on the $10 million the you had alluded to. Certainly, we are looking at... starting to scale the team up in Q4. I don't have a good number for you yet on what the Q4 investment will be but in order to size it for you, it is going to be certainly north of the $1 million in the quarter. The other meaningful cost in Q4 that's having some impact on the flow throughs is the introduction of two new IBXs into operational status in Q4 both in New York and Chicago, and we are absorbing almost an increment of $2 million of cost attributed to those two IBXs.
Chris Larsen - Credit Suisse First Boston: Thanks. That's really helpful. And then on an operating basis, we had comments by two of your competitors SAVVIS and then of to the side a little bit Level 3. SAVVIS is saying that they are having trouble filling, yet you guys are actually saying churn is coming down. Maybe it's more of an operating basis and they are not hitting the numbers as well as you guys are, but may be you could give us an idea why you think churn is coming down and you feel comfortable saying that's going to come down in 2008. And then Level 3 is making a call that they are willing to accept customers into their data centers on anyone's network. Are customer... are you seeing that out in the market place that customers are buying into that or is that really not having any sort of affect in the customers that you are competing for? Thanks.
Keith D. Taylor - Chief Financial Officer: Let me take the first one and I will pass the second one to Stephen, Margi. As it relates to churn, there is a couple of things that are driven churn. Clearly over the last, I think, almost two years, we went through a scenario where we were optimizing our IBXs. We were moving some of our customers to more market rates that are giving at least the opportunity to move to market rates to move out of a given IBX or migrate into one of our new IBXs. Clearly that has affected our churn rates over the last couple of years. We saw that basically come to some level of conclusion at the end Q1, where we had... we sort of got to the end of our optimization effort and as a result I think you are seeing now, your seeing us more in a steady state basis where churn just isn't as significant as it once was, and the fact that a lot of our growth is coming from our installed base. So Steve alluded to 80% or almost 80%, again this quarter of our new bookings came from our install base, and so with that size of investment coming from the base, it is just unlikely that you are going to see any meaningful churn. You'll always see them obviously managing their infrastructure here and there, but overall we just don't see any meaningful churn over the next quarter and certainly as we look into 2008. And you also get clearly the benefit of larger numbers. We're much bigger company in 2008 than we are in 2007, and so with some degree of comfort, we can take our churn levels down to that 2% range per quarter or 8% per year.
Stephen M. Smith - President and Chief Executive Officer: To address the other thing, this is Stephen, Margie perhaps may have something [ph]. But I mentioned we just had some customer forms with some of our biggest customers across our segments, and we heard a consistent thing from all of them that reliability, responsiveness and service excellence are big differentiators everyday and so whether it's a legacy centre or a new IBX, it almost becomes irrelevant. If we are delivering the kind of service they are expecting from us and we are responsive and reliable at the end of the day, wins relationships and deals, so I think we separate ourselves from others legacy or new by just delivering everyday.
Margie Backaus - Chief Business Officer: And then Chris just to speak to the Level 3 opportunity or the Level 3 color specifically, we don't see them competing for our customers in terms of the deals we are in for sure. And just remember how they are doing that and what the value proposition is for customers, so Level 3 can get you to another network, but you're going to use a local loop to get there. You're going to use one of their metro services to get there, and inside Equinix you can get to anybody you want to for $250 including Level 3 and everybody else that they bought for $250 across the room with no chance on local loop issue or anything else. So it's a different value proposition, I mean we certainly would see in the business as walking in the doors that the network neutral model is a very strong model. So I think they are right about that. It's just actually how you execute that the value proposition to customers we believe in Equinix is stronger.
Chris Larsen - Credit Suisse First Boston: Thanks. It's really helpful and it sounds like you guys are still under pricing, Margie.
Margie Backaus - Chief Business Officer: I'll keep that in mind, Chris. Thanks a lot.
Operator: Our next question comes from Greg Mesniaeff with Needham. Your line is open.
Greg Mesniaeff - Needham & Co.: Yes. Thank you. I was wondering if I could explore the pricing environment a little closer particularly, you've clearly benefited in the US market over the last few quarters from large marquee customers vacating a portion of their cabinet space and you being able to affectively re-rent that to some more customers at higher price points, and I am wondering how that trend is shaping up these days?
Stephen M. Smith - President and Chief Executive Officer: Greg, this is Steve. I will give you... of course in Europe and Asia, you got to go country by country almost city by city in some cases, but let me just give you a couple of data points. In the U.S., as you know we did increases prices in March of '07 up about 11% on cabs, adjusted the sales compensation to a line up for that and we've seen results in the order of magnitude on quarter-on-quarter basis of about 1.8% MRR per cabinet increase in pricing and on a year-on-year basis of about 6% increase on MRR per cab. Pipeline is very strong, so another indicator in the US and I think we alluded to in the past that our high power density cabs we're looking range of 18 to 2200 fully loaded. So there is a couple of data points score in the US If you go to Europe, it's quite different. In London pricing is up due to the tight supply in London. Today's pricing is as we think in the order of magnitude of three times of what it was just over the last two and a half years for cabinets and power. Germany gives you lots of capacity and more supply coming on board. In our Frankfurt market, we do see prices rising but less than London and I call it low double-digit growth in pricing in the German market. In France the market is tightening so the supply demand from a supply demand standpoint is definitely tightening. That's why we are making the decisions we are in Paris. We're getting higher rates in each of the new sequential phases there, so that's a positive sign for us in Paris and prices there are basically doubled since the 2005 timeframe. Switzerland, we are seeing higher prices there than most countries across Europe with the exception of the U.K. On a general data point in AP, I'd tell you that we seeing just over 2% quarter-on-quarter price increases on a MRR per cabinet basis and then about 5% on a year-on-year. So, those are the kinds of trends we are seeing across the markets.
Greg Mesniaeff - Needham & Co.: Great. That's very helpful. Thank you.
Operator: Our next question comes from Manuel Recarey with Kaufman Brothers. Your line is open.
Manuel Recarey - Kaufman Brothers: Thanks. Just two quick questions, I missed... what's the total number of bill book cabinets at quarter end? And then the second question is Europe exceeded the guidance that you gave in sort of the mid to latter part of September. I am kind of curious what drove that. Was there anything in particular or just strong demand?
Keith D. Taylor - Chief Financial Officer: So answering your first question, it was 20,500 cabinets billed at the end of the quarter and then on a weighted average basis, it was 20,100. Then as it relates to the question on the guidance that we give prior to our financing in September, clearly we were... we closed Europe on September 14th, we're using the best information that we've had recognizing that the European operations are managed on our IFRS basis versus US GAAP, and one of our largest components of that is that under IFRS, you actually recognize all of your non-recurring revenue upfront whereas under US GAAP, we differ and amortize the relationship with the customer. And so taking all of that into consideration, we estimated those... at the time we thought Europe would do about $4 million of revenue and as you can see by the results, they came in at roughly $5.5 million of revenues. So that was a significant driver. As a general theme, we as a company we're always... we provide guidance and we are historically been... we shoot for the midpoint and if we do a little bit better, we get to the top end of the range. In this case we're just bumping because the book-to-bill is always bumping above the top end of the range. But historically and as we look forward, we still want to manage it... manage between the midpoint of our ranges, and we think that's a fair number to target as you look forward.
Manuel Recarey - Kaufman Brothers: Okay, great. Thank you.
Operator: Our final question comes from Jennifer Adams with Cowen. Your line is open.
Jennifer Adams - Cowen and Company: Congratulations on a very strong quarter. Looking at your CapEx, I know '07 and '08 have been years that build out on expansion but if you could give a little bit more flavor how you're thinking about future years as you've felt CapEx to stabilize perhaps as a percentage of revenue or in absolute dollars, and how we should think about that going forward? Thanks.
Keith D. Taylor - Chief Financial Officer: I think there is a general theme, Jennifer. First of all, I thank you for your comment. But as a general theme, we as a company think that on a steady state basis we would spend 5% to 6 % of revenues on CapEx clearly as we see opportunities where we can invest our capital with huge [ph] size returns. We want to do that on behalf of our shareholders. But today, we continue... we've invested a lot in '07. We are also putting a fairly large commitment down for '08. And as we look forward, we're going to look at each market and each transaction as we see sort of the market unfolding in that given geography. But overall, our theme is that we don't want to sort of give you any sense of where we're going to be in '09, '10, we just don't know but it's fair to say that on a general basis, the ongoing CapEx will be in 5% to 6% range of revenues.
Jennifer Adams - Cowen and Company: Great. Thanks a lot.
Stephen M. Smith - President and Chief Executive Officer: This concludes our conference call today. Thank you for joining us.
Operator: Thank you for participating in today's conference call. You may disconnect your lines.